Operator: Good afternoon. My name is Dawn and I will be your conference operator today. At this time, I would like to welcome everyone to the First Quarter 2012 Earnings Conference Call. (Operator Instructions) After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Mr. Douglas Yearley, you may begin your conference, sir.
Douglas Yearley: Thank you, Dawn. Welcome and thank you for joining us. I’m Doug Yearley, CEO. With me today are: Bob Toll, Executive Chairman; Marty Connor, Chief Financial Officer; Fred Cooper, Senior VP of Finance, International Development and Investor Relations; Joe Sicree, Chief Accounting Officer; Kira Sterling, Chief Marketing Officer; Mike Snyder, Chief Planning Officer; Don Salmon, President of TBI Mortgage Company; and Greg Ziegler, Senior VP Treasury. Before I begin, I ask you to read the statement on forward-looking information in today’s release and on our website. I caution you that many statements on this call are based on assumptions about the economy, world events, housing and financial markets, and many other factors beyond our control that could significantly affect future results. Those listening on the web can e-mail questions to rtoll@tollbrothersinc.com. As has become our regular practice, we’re going to limit our prepared remarks to provide more time for Q&A. Since our detailed release has been out since early this morning and is posted on our website, I’m sure most have read it so we won’t reread it for you. This first quarter, we reported a net loss of $2.8 million or $0.02 per share diluted. Our first quarter included a net tax benefit of $3.6 million and inventory write downs totaling $8.1 million. Excluding write downs, fiscal year 2012’s first quarter pre-tax income was $1.7 million. Our first quarter revenues and homebuilding deliveries of $322 million and 564 units decreased 4% in dollars and 1% in units compared to 2011’s first quarter. Since some of our backlog is in towers, with longer delivery times than our average single family community, some of our backlog did not convert into revenues as would have been expected based on historical conversion ratios. Our first quarter net signed contracts of $444.7 million and 652 units rose 45% in dollars and 19% in units compared to 2011’s first quarter. We ended our first quarter with a backlog of $1.12 billion and 1,784 units, an increase of 35% in dollars and 21% in units compared to one year ago. We ended the first quarter with 228 selling communities, up 14% from one year ago. And we had approximately 39,700 lots owned and auctioned, up 11% from a year ago. At fiscal year 2012’s first quarter end, we had $720 million in cash and $815 million available under our $885 million 12-bank credit facility which matures in October 2014. At the start of our second quarter, we raised approximately $300 million of 10-year debt priced a 5.875% in the public markets. The past few months have been exciting for Toll Brothers. Our total and per community contracts were the highest for a first quarter in five years. The value of our backlog is up 35%. We entered the Seattle market through the acquisition of CamWest. We teamed with Equity Residential to acquire a great site at 28th Street and Park Avenue South in Manhattan were Toll will own and sell condominiums on the top 18 floors of what we believe will be an iconic 40-story building. And our Gibraltar subsidiary acquired its fifth portfolio of distressed assets with a combined outstanding loan balance of $51.4 million. This was Gibraltar’s first portfolio of primarily commercial assets. Historically, our first quarter is the most challenging time to gauge sentiment among our home buyers since it encompasses Thanksgiving, Christmas, New Years and the doldrums of early January. However, in general, the market feels healthier than it did one year ago. The urban metro New York City market remains very strong. We are also encouraged by the continued health of the Washington D.C. to Boston corridor along with Houston, Dallas, Raleigh, and more recently Southern California. We are even seeing some recovery on the east coast of Florida and in the suburbs of Detroit and Phoenix. Our first quarter deposits, which are non-binding, were up 22% gross and 4% per community compared to last year’s first quarter. More recently, in the first three weeks of February, on a gross and per community basis, deposits were up 43% and 25% respectively compared to the prior year same period. With the economic and employment picture improving and the financial markets trending up, buyers are taking advantage of tremendous affordability and record low mortgage rates. Now to the famous family with a dog and the two kids; they’re even more tired of waiting. They’ve added a second dog, they are more confident they can sell their existing home and they love today’s interest rates. Their kids are now in middle school and they want to get them settled into the better school district. So they are chomping at the bit to get their new home with a bigger yard. If they wait much longer, the kids will have graduated from their old school and mom and dad will be eligible for our 55 plus active adult communities. We believe our community count is on track to reach between 235 and 255 by fiscal year end 2012. We continue to explore land and debt portfolio acquisition opportunities across most of our current markets. Our balance sheet, reputation, and expertise in the approvals and development process, combined with our ability to close on transactions quickly and reliably, make us an attractive buyer for many land sellers. Now let me turn it over Marty.
Martin Connor: Thanks, Doug. Our first quarter home building cost of sales before interest and write-downs as a percentage of home building revenues was 76.8% compared to 77.5% in 2011’s first quarter. 2011’s fourth quarter was 75.8%. Our margin improvement of approximately 70 basis points from Q1 2011 to Q1 2012 was due primarily to the sell out during fiscal year 2011 of certain lower margin communities and cost savings driven by our regionalization of subcontractor trade purchasing, offset by purchase accounting write up of Q1 deliveries acquired from CamWest. Purchase accounting also contributed to the 100 basis point decline in our margin compared to our fourth quarter. Additionally, our fourth quarter margins benefited from a $2.1 million accrual reversal on a favorable legal ruling. There were no such reversals in Q1 of fiscal year 2012. First quarter interest expense included in cost of sales was 5.1% of revenues, about 30 basis points lower than 2011’s first quarter and 10 basis points higher than our previous quarter. These changes are principally related to mix. The first quarter pre-tax write-downs of approximately $8.1 million included $6.4 million attributable to operating communities, approximately $900,000 attributable to land owned for future communities and $800,000 related to options. We have grown the company, as evidenced by our community count increase and backlog growth. With such growth comes some increase in SG&A in advance of growth in revenues. First quarter SG&A, at approximately $69.6 million, was above the $68.4 million in the fourth quarter of 2011 and up significantly from the $61.3 million in the first quarter of 2011. However, recall that Q1 2011 SG&A benefited from $6 million in insurance proceeds and other accrual reversals. Looking forward, we expect SG&A as a percentage of revenues to decrease, particularly in the last half of fiscal year 2012. We had no direct interest expense in Q1 2012 and believe that will be true for the remainder of the year as qualifying inventory will continue to exceed outstanding debt, including the $300 million in 5.875%, 10-year notes just raised. First quarter Other Income and Income from Joint Ventures was $12.8 million, reflecting the strong performance of our urban New York City and Hoboken, New Jersey joint ventures and a $2.6 million gain on sale of land out of a California joint venture. As certain of these ventures are nearing sellout and our latest New Yorker urban projects are wholly owned, we believe the income from the joint ventures will diminish over the remaining quarters of the year and be replaced with core homebuilding revenues and margin. The average basic number of shares used to calculate earnings per share was approximately 166.3 million shares for the first quarter. Subject to our normal caveats regarding forward-looking statements in today’s release and in our SEC filings, we offer the following limited guidance. We expect deliveries in 2012 to be between 2,600 and 3,200 homes. We still estimate the average delivered price per home to be between $550,000 and $575,000. Although we are not providing quarterly guidance, we normally deliver fewer homes in the first and second quarter than in the third or fourth. And we expect that this will continue in 2012 with approximately 60% of our deliveries in the second half of the fiscal year. At this point, I’ll turn it over to Bob.
Bob Toll: Thanks, Marty. Since the new home industry is coming off several years of historic low levels of production, we are encouraged by the recent improvement in housing starts. As announced last week, January 2012 housing starts, seasonally adjusted, were up 10% compared to January 2011. Some big public builders such as Toll Brothers appear to be gaining market share as their order numbers have grown more rapidly than housing starts in general. These large builders benefit from access to capital and more marketing fire power. We believe this is most pronounced in the luxury market where our brand is firmly entrenched. Consistent with previous cycles, we believe we are benefiting from a flight to quality. Buyers are gravitating to our brand, the quality and value of our homes, our strong balance sheet, and our track record. With our solid land position and well located communities, we believe we’re well positioned as the market recovers. Now, let’s open it up for questions.
Operator: (Operator Instructions) Our first question comes from the line of Michael Rehaut with JPMorgan.
Michael Rehaut – JPMorgan: Thanks. Good afternoon, everyone.
Bob Toll: Hi, Mike.
Michael Rehaut – JPMorgan: First question, I was wondering if you could expand on the February deposit trends and give us a sense, number one, were there are certain regions that really stood out as a driver including possibly certainly the strength in the urban New York area? And were there any programs or marketing programs associated with the beginning of the spring selling season that that may have also helped the strong start to the second quarter?
Douglas Yearley: Sure. In terms of geographies, New York City continues to lead by a lot; Washington DC to Boston, in general, has been – has continued to show strength. There are pockets within that corridor that are better than others, but generally that corridor has been strong. We’ve mentioned Dallas and Houston and more recently we’ve mentioned Southern Cal is showing some life, Phoenix is showing some life, the East Coast of Florida is having a better winter season. And what did I miss?
Bob Toll: Massachusetts, Connecticut.
Douglas Yearley: And Detroit, sorry, I missed it, and Detroit.
Bob Toll: And the 6th Borough, Hoboken, and Jersey City.
Douglas Yearley: Right. When I talk about New York, I always – we here believe it is the 6th Borough, so yes, it’s part of our New York urban city living program.
Bob Toll: Special program (inaudible).
Douglas Yearley: Thank you. Special program, every time – well, for the last three or four years, we have run a national sales event right around Presidents’ weekend. We did it last year, the year before and I believe even the year before that. We are in the middle of that program right now; it ends this coming Sunday and last year it also ended this coming Sunday. And so I think year-over-year numbers are relatively consistent because of that program. It is very effective in driving sales. Our vendor partners offer free upgrades of kitchen cabinets and upgraded flooring and upgraded faucets and appliances. And so it’s a great partnership because the incentive doesn’t come out of our pocket, but comes out of our partner’s pocket because they appreciate the additional sales as we do. And it definitely helps and is helping us right now.
Michael Rehaut – JPMorgan: I appreciate that. The second question on the SG&A; I believe, Marty, you had discussed in guidance that you expect some leverage to play out relative to where we are today as a ratio in the first quarter as you get into the back half of the year. But as you think about the full year, and I’m sorry if I missed this, do you expect the SG&A ratio to be higher or lower than 2011 – fiscal 2011?
Martin Connor: Michael, we haven’t given specific guidance on that. We do expect revenues to be slightly above last year and we’re keeping an eye on SG&A.
Michael Rehaut – JPMorgan: Okay. Thanks.
Operator: Your next question comes from the line of Stephen Kim with Barclays Capital.
Stephen Kim – Barclays Capital: Hi, guys. Thanks.
Bob Toll: Hi, Stephen.
Stephen Kim – Barclays Capital: I wanted to ask you a question about your – how you know when to or how you decide to raise prices in a community. You talked about a level of absorptions in the quarter that was the best it’s been a while. I would generally think given your higher end mix that you wouldn’t necessarily need to see as high absorptions per community before you started raising prices versus let’s say an entry level builder because your communities may operate very, very profitably at a lower level of absorption. But I was curious if you could comment on what it is that you – what metric, perhaps, or metrics you look at and what threshold, perhaps, to tell you it’s time to raise prices?
Martin Connor: Thanks Doug, I’ll take that. It’s a fairly simple metric. Monday, Doug and I and Rick Hartman and all of the regionals gather around one at a time and we go over every community and when you see the community has two agreements signed, three new deposits, hasn’t lost any deposits or agreements, that you have outstanding agreements that nearly meet a full year’s worth of production, which could be as low as 20 and could be as high as 35, somewhere in that mode except in the high rises; and you’re encouraged to raise prices. And we’ve been particularly encouraged over the past, I guess about eight weeks, by the existence of some pricing power on a limited basis. It’s gratifying at least to be able to discuss whether to raise price by $5,000 or $10,000 rather than sit up and worry about how much additional incentive is required to take deposits and get the community moving. So I hope that helps.
Stephen Kim – Barclays Capital: Just as a point of clarification. Do you – you talked about a level of production that lasts about a year, but one would think that you could probably scale up that production if you needed to on a per community basis. I just wanted to confirm that that was true? And then my second question related to the number of the communities that you’re planning on opening, you talked about a range of communities you expected to have open by the end of the year. But I was curious if you could just give us a range of the number of communities you’re actually looking to open this year? Thanks.
Douglas Yearley: Sure. Yes, we can scale up production, answering your first question. To a point, we have long permitting processes in many towns, we have difficult inspections in many towns. These houses have a lot of options in them and so there’s absolutely an opportunity to do that, but our land we think is pretty special. And if we have good demand, it may be a better business model to keep raising the price and we evaluate that for every location. With respect to...
Martin Connor: Excuse me, let me add to that. We all know that prices over the past five years, in general, have gone down anywhere from 50% to 30% depending upon which pundit you listen to. And as you noticed, we’re talking about small increases, 5%, 10%, and the reason is that there is a chance that we will revert back to, as we always have, to previous highs and even exceed them. And that means a lot of room at the top. So we’re not anxious to blow through a great location because the demand is there to permit us to do so. Rather, we’d like to sit and milk a great situation or if we can get enough of those aggregated, sooner or later you’re talking some serious money.
Douglas Yearley: Steve, with respect to the second question, we anticipate opening 49 communities the balance of the year. The leading states are Pennsylvania and Texas and only two of those 49 are coming out of mothball.
Stephen Kim – Barclays Capital: Okay, great. Thank you very much, guys.
Douglas Yearley: You’re welcome.
Operator: Your next question comes from the line of Dan Oppenheim with Credit Suisse.
Daniel Oppenheim – Credit Suisse: Thanks very much. I was wondering if you can clarify the comments on February a bit more. It looks as though last year the national sales event was February 19 to 22, so two weekends. This year it started a week earlier, February 11 going through the 26; it’s three weekends now. Can you talk about the 25% increase in sales per community – or deposits per community? Do you think that’s the – a trend that we should be looking at here or do you think that’s influenced by starting a week earlier with the national sales event here?
Douglas Yearley: Are you depositing by this Sunday? It sounds like you’re on top of our program. These incentives do go away. They’re not – we didn’t make them up. They’re from Kohler and Anderson and Shaw. Yes, we did – we were able to negotiate a deal with our suppliers where this winter event and the best selling season would be a three-weekend event; last year it was a two-weekend event. So yeah, you are absolutely right that we had one weekend earlier this year of increased sales. We look at Presidents’ weekend, this last weekend, as the middle weekend of a three-weekend event, so maybe that fell off a little and we’re anticipating a good weekend coming up because the event does end on Sunday. So I think the numbers we’re giving you in terms of year-over-year improvement are fair, they’re a fair judge of what’s going on, but we’ll have to see. We’re relatively early into the spring selling season.
Daniel Oppenheim – Credit Suisse: Got it. And then second question, wondering about the West where if we exclude CamWest, West would be the only region that would be down in terms of community counts on a year-over-year basis. So aside from the acquisition there, is it – are you still finding it to be difficult to acquire land or is it something where you’re not looking for as much land given some of the trends you’re seeing in demand?
Douglas Yearley: We are absolutely looking for land and it is very difficult to find ground in both Northern and Southern California; we’re very frustrated.
Daniel Oppenheim – Credit Suisse: Thank you.
Operator: Your next question comes from the line of Jade Rahmani with KBW.
Jade Rahmani – KBW: Thanks for taking the question. Wanted to ask what backlog conversion ratio you expect the next few quarters to – what range it should be within?
Douglas Yearley: Marty, do you want to quote some of the prior history?
Martin Connor: Well, I think – we generally don’t project that for you, Jade. I would tell you that our building at 1450 Washington will deliver some units in the second quarter. Our building at – on Water Street will deliver some units in the third quarter and so – hopefully, hopefully. We do – when you look backwards, you see that our backlog conversion ratio for the second quarter is somewhere between 35% and 40% generally for the third quarter. It gets up into the low 40%s, where it stays for the fourth quarter.
Jade Rahmani – KBW: Okay. Thanks. And can you give the impact that CamWest had on this quarter’s orders and closings?
Douglas Yearley: Marty, go ahead.
Martin Connor: Sure, I think CamWest was relatively nominal from an orders perspective because the deposit requirements out there are less than what we count as a deposit. So we have a number of, we’ll call them agreements that we don’t report to you as agreements because they haven’t hit our internal threshold yet. In terms of closings, we had 23 closings at roughly $10 million of revenue.
Douglas Yearley: The Seattle market is a little bit later into the spring because it has a lot of relos that tend to buy resale homes or builder spec homes. CamWest has more quick delivery homes than many of our other markets and so we anticipate sales out of CamWest to be a little bit more backend loaded into the spring than the other markets where we tend to have what we call dirt build or custom build homes.
Jade Rahmani – KBW: Great. Thanks a lot.
Operator: Your next question comes from the line of David Goldberg with UBS.
David Goldberg – UBS: Thanks. Good afternoon, everybody.
Douglas Yearley: Hi, David.
David Goldberg – UBS: I wanted to dig a little bit, and I don’t mean to beat a dead horse here, but I’m just trying to understand the February absorption rate a little bit better. If we were to separate out the absorptions on a multi-family versus single-family basis, would we see a different pattern? In other words, is the – are the multi-family properties absorbing much, much faster and are they effectively responsible for a lot of the growth we’ve seen year-over-year?
Douglas Yearley: Greg?
Gregg Ziegler: Let me see. So if we break out our gross contracts for Q1, the multi-family, not high density high rise, multi-family is 17% of the total gross contracts. If I go a year ago, it was 19% and in between there – the three quarters in between last year and this year, it’s 17%, 18% so there’s no real meaningful change in the level of multi-family.
David Goldberg – UBS: Maybe I should be more clear; I –
Gregg Ziegler: And that was through January 31, right?
Gregg Ziegler: That was January 31, 2011 through January 3, 2012.
Gregg Ziegler: (Inaudible).
David Goldberg – UBS: Maybe I should be more –
Gregg Ziegler: That was excluding high rise towers.
David Goldberg – UBS: Let me be more clear. I was kind of focusing on the high-rise, thinking that you might have taken a lot of deposits or a lot of orders in the high-rises specifically that were driving some of the order growth trends we’ve seen this year. Is that not the case?
Gregg Ziegler: Well, especially for Q1 of 2012 it was.
David Goldberg – UBS: Right.
Gregg Ziegler: But if I look at the four quarters of 2011, it was 10% to 12% each quarter.
David Goldberg – UBS: Okay. Okay, perfect. Thank you. And then just a quick follow-up; I was wondering about –
Martin Connor: David, it’s Marty. I think one of the other things to recognize is that the towers we had many of our sales in last year were off balance sheet. And the towers we’re selling mostly in this first quarter and first month of the second quarter are on balance sheet.
David Goldberg – UBS: I got that, yeah. And then just a quick follow-up here on cash flows and Gibraltar, and I appreciate the color you guys gave and some of the break out in terms of cash flows. How do you think about kind of cash flows into Gibraltar moving forward? And what the kind of cash flows in, cash flows out picture looks like, where’s that subsidiary at this point? And if you would ever kind of consider segmenting that off or separating that, given especially that you just completed your first commercial deal and maybe it’s kind of moving away from some of the core things and what you guys get from a residential perspective. So just trying to get a feeling for where cash – how the cash flows look from the vehicle on a go forward basis.
Martin Connor: I think with respect to cash flows into the portfolio, it’s very difficult for us to project what the next deal might be and whether we’ll win that next deal. So we really can’t project with any confidence that we’ll spend $25 million, $50 million, $75 million in the next so many months or quarters to buy portfolios. With respect to cash flows out, again, that’s also episodic as to whether or not we find a buyer for a piece of real estate or find a buyer for a loan or find a discounted pay off, so it’s a challenge to answer that question as well as you’d like us to. But as we look at the Gibraltar investments in their entirety, we generally get into a portfolio with a three to six year investment horizon. Some of the loans will be shorter than that, some of them will go to the end. And when we look at the total investment into Gibraltar, I think we’ve said softly, if we get up in the couple hundred million dollar range, there may be a different structure we need to do future deals with or something we need to do with the existing Gibraltar structure.
David Goldberg – UBS: Got it.
Martin Connor: Right now, we have about $136 million invested in Gibraltar.
David Goldberg – UBS: Pretty close to the hundreds of millions of dollar range.
Douglas Yearley: Not really.
David Goldberg – UBS: All right, fair enough.
Douglas Yearley: Okay.
Operator: Your next question comes from the line of Stephen East with ISI group.
Stephen East – ISI Group: Thank you. Good afternoon, guys.
Gregg Ziegler: Hi, Stephen.
Stephen East – ISI Group: If I could ask just a little bit on the towers, coming back to it, when you talk about later in the year having heavier deliveries, I’m assuming the towers might accentuate that this year; could you just talk about how many towers you think are – what your towers look like this year versus last year and the leverage impact you might have on your SG&A. And then the other part of it is, if I just look at it, a couple of your investments in New York are at about, equivalent to about 10% of equity. At what level are you comfortable taking the investment into high-rises to?
Douglas Yearley: We have two buildings that will start delivering over the next few quarters, 1450 Washington Street in Hoboken, which has about 85 sales to-date. That actually started delivering a week or two ago and will continue to deliver through the end of the year and into 2013.
Martin Connor: That started deliveries about a month and a half before we expected.
Douglas Yearley: Correct.
Martin Connor: So some of the buyers will not be ready to settle as quickly as we currently are because they were planning on a late March settlement. So let’s consider that a late March start to deliveries even though we may have a few that dribble in before then.
Douglas Yearley: Right.
Stephen East – ISI Group: Okay.
Douglas Yearley: Thank you, Marty. And the second building is 205 Water in Dumbo, Brooklyn. That building is selling; has about 35 sold out of about 70 total and that will start delivering in the third quarter of 2012. Those are both on balance sheet buildings. We also have what we consider under the City Living umbrella our Naval Square property in Philadelphia, which continues to hum along and has been doing so for a few years. In terms of how big the City Living gets, we love the business; it’s been terrific. We mentioned the deal we did with Equity Residential down at Park Avenue South. We’ve mentioned a few quarters ago the property we bought at foreclosure sale at Gramercy Park; we have some other exciting land opportunities that are cooking. We understand it’s a riskier business. We underwrite it to a higher return because of that risk. I think right now it looks bigger than it really is, because it is the best performer in the company, and when everything else starts clicking, it will naturally become a smaller component. But we don’t put a threshold on it; we’re opportunistic on the land buys and we’re very happy with how it’s performing.
Stephen East – ISI Group: Okay. That’s helpful. And then...
Gregg Ziegler: And then the last building is the Terrain, and I think we’ve put some details on what we have in backlog on the Terrain in the release. That will not deliver until next year.
Stephen East – ISI Group: Okay, all right. And then on the cash, Marty, you all have about $720 million. What do you expect from – as you look at 2012, considering that your business is starting to take off and ramp up and which is going to require some more cash, are you cash positive this year, is that most likely – is a negative this year and sort of where are you comfortable on your cash levels?
Martin Connor: Some of that, a similar thinking on that is evidenced in the $300 million of new debt we raised a couple of weeks ago. We raised debt at sub 6%; we found it to be a very opportunistic transaction at an attractive interest rate, five and seven-eights. And we kind of parlayed that into an exchange offer for some of our nearer dated maturities, some of which are due in November of 2012 and September of 2013. So we are mindful of the cash being spent in the company for land opportunities and the development of buildings including with equity residential and in – at the Gramercy and so we’re – we looked ahead and said 6%, 5.875% debt, let’s get some and replenish the coffers a little bit because we do have some usages that we’ve seen recently and construction costs that are anticipated.
Stephen East – ISI Group: Okay. So if I hear you, it sounds like it will probably be an investment year for you?
Martin Connor: I think it’s definitely going to be an investment year. We’ve already invested more than $400 million.
Stephen East – ISI Group: All right. Thank you, guys.
Operator: Your next question comes from the line of Nishu Sood with Deutsche Bank.
Rob Hansen – Deutsche Bank Securities: Thanks. This is Rob Hansen on for Nishu. I wanted to see if you could just talk a little bit about the land that you acquired in the Inspirada settlement and how much land you gained access to and this it still held in an JV or – and how quickly you’ll be able to deliver homes and how much money you have to spend to develop any portions of it?
Douglas Yearley: We – as part of the settlement we are the proud owners of about 800 to a 1,000 lots within Inspirada. Inspirada is going through replanning of sorts to try to make it a bit more marketable. We are holding that ground. We are in Inspirada, we are building at lower price points, quite successfully actually, relatively successfully for the market. But we are – with this 800 to 1,000 lots that we now own through the settlement, we have no plans for that; we’re just sitting on it.
Martin Connor: And Rob, while we just paid $57 million for that land, we had accrued that payment in the past and recognized the appropriate impairments associated with that land in the past as well. So our current basis is significantly less than the 57.
Rob Hansen – Deutsche Bank Securities: Okay. Thank you. And you also mentioned that the first three quarters of the year you’d see a little bit of margin deterioration just from the purchase accounting and what not. So I just wanted to see is 1Q 2012, is that likely a kind of trough for the margin deterioration?
Martin Connor: Gregg?
Gregg Ziegler: I think Martin has tried to give you his best margin guidance that he possibly can. It’s really, if you’re looking on a percentage basis, it’s because of the lower delivery volume that happened in Q1 and that’s driving the percentages as opposed to the absolute dollars.
Rob Hansen – Deutsche Bank Securities: Okay, thank you.
Operator: Your next question comes from the line of Megan McGrath with MKM Partners.
Megan McGrath – MKM Partners: Hi, thanks. A couple of questions; first, just wanted to follow-up on your decision to sort of put more of these New York towers on to your balance sheet rather than going through the JV structure. Is it more of a function of them being smaller and you’re a large sort of coffer of cash? Or is there something fundamentally different about your view on JVs now as you had a year or two ago?
Martin Connor: Imagine that the JVs were primarily as a result that somebody had the land; we wanted it, we tried to buy it and the landowner said, I’m not selling, but I’ll be your partner. You do all the work and give me half of the profit. It’s not the ideal situation from our point of view. But since we were enamored with a situation, thought it spelt fairly easy success given the market conditions. And the fact that you’re in the doldrums in a very much of the rest of the United States at the time, we took the opportunity in JV. Now that we’ve become more well known for it, we’re seeing more offerings and opportunities to buy the ground and built it on balance sheet, which I assure you we prefer. It hasn’t much to do with the size because some of the JVs have been smaller and some of the on balance sheet stuff has been quite large. Thank you.
Megan McGrath – MKM Partners: Okay, thanks. And just a quick one, this is sort of a rich man’s question here, but at some point if things look like they’re bottoming and start to accelerate, how far are we in terms of growth where we actually might run into a bottleneck in terms of your ability to open new communities and permit fast enough and get enough folks on the ground. Is that one of the swing factors in terms of how many sort of net new communities you’re going to be able to open this year?
Douglas Yearley: No – no we have a deep bench here; we have a deep bench of alumni that, sadly, we had to let go. We’re not worried about the permitting. This is market driven and if the market improves, we also have a fabulous marketing group of about 60 people that can crank out the brochures and an architecture group and everything else we need. So if the market improves, we will be there.
Megan McGrath – MKM Partners: Thanks.
Martin Connor: Megan, I think what we’d really like to do is ramp up our throughput per community when we see that kind of acceleration as well as open new communities. But it’s really the throughput that will come back quickly.
Bob Toll: But I’m betting you that she’s on to something and that when the market turns and we see it turning we hope permanently, we can’t tell, but we see it turning now, that today’s problems will not be tomorrow’s problems. Tomorrow’s problems will be to get it through the townships, counties, metro areas that today are being easier in approvals that will be tougher as the worm turns. So it’ll be interesting to see how long it takes to turn.
Operator: Your next question comes from the line of Adam Rudiger with Wells Fargo Securities.
Adam Rudiger – Wells Fargo Securities: Hi, thank you. Doug, you kind of alluded to this briefly in your family scenario with the two dogs and then the comfort with selling your existing home, but I was wondering if you saw some of the trends we saw this morning in the existing home sales where inventory has been – seems like it has been sopped up a bit and existing home sales seem to be consistently and steadily trending up. I was just wondering if you were seeing that and how that was impacting your buyer’s ability to buy your homes and what the – if that was alleviating any of the price pressure out there in the market.
Douglas Yearley: I think our buyers feel much better about selling their home; I think they’ve gotten over the value that their friend, the realtor, gave them in 2005 and they want to take advantage of the interest rates. It takes – can take nine months; sometimes we’ll give people a 12 month contract to live into our home so there’s some piece of mind there that they have enough time to sell their existing homes. We are hearing from our friends in the realtor business that there are more and more resales hitting the market this winter and anticipated for this spring as people feel better about the market and believe that it’s time to sell their homes. So I think that’s all good news. We’re not hearing from our clients nearly as much as we did a few years ago of their concern about the inability or the frustration with selling their own house, just like we’re not hearing as nearly as much about their insecurity over their job. So I think that’s all very encouraging.
Adam Rudiger – Wells Fargo Securities: Great. And then the other question that I had was any update on your international plans?
Douglas Yearley: We’ve put China on the back burner. I think our timing was very lucky and good for that. We are now steady in Toronto for high-rise, and we are studying Brazil. Very early stages in both markets; if we go, we’ll be very careful. Nothing to report beyond that.
Adam Rudiger – Wells Fargo Securities: Great. Thanks very much.
Douglas Yearley: You’re welcome.
Operator: Your next question comes from the line of Dennis McGill with Zelman & Associates.
Dennis McGill – Zelman & Associates: Hi, Guys.
Bob Toll: Hi.
Dennis McGill – Zelman & Associates: First question, just on the non-binding deposits. What would be the normal flow through of that orders if you think about a close rate?
Douglas Yearley: About 50%.
Dennis McGill – Zelman & Associates: 50%. And have you seen any change in that recently relative to what you’ve experienced over the last couple of years?
Douglas Yearley: No.
Dennis McGill – Zelman & Associates: Okay. Second question would be around the SG&A; you made some comments about are there any inhibitors to growth and it sounds like you have everything internal you need. So I just wanted to challenge you on the comments in the press release about SG&A being up because you’re growing the business. Is that just a function of the quarter and some of the unique investments you made or is that something that we should think about when we’re looking at the recovery?
Martin Connor: Well, I think point one is that we did add the Seattle division and there is overhead in personnel that comes along with that. And as we open a community, there are personnel associated with that community that we report as G&A, not as project specific cost of sales.
Dennis McGill – Zelman & Associates: So the existing communities have a lot of leverage to go; new communities will bring some headwinds with them?
Martin Connor: Yes.
Douglas Yearley: Yeah, when we can we leverage off the existing personnel, but a new community may not always be in a location where we can efficiently do that. A new community always has a sales team, that’s a given. So we are leveraging as best we can, but there will be some added SG&A as we open these additional 49 communities this year.
Dennis McGill – Zelman & Associates: Anything else beyond that salesperson that would be material; that would come along with that community growth?
Douglas Yearley: Again, based on location the community may require a fresh new project manager who is – under our system is the boss; again, it depends on location. As we sell homes and have production there will certainly be a construction manager on site who is running the day-to-day construction of the homes.
Dennis McGill – Zelman & Associates: Okay. That’s helpful.
Martin Connor: Community by community, Dennis, it’s not material, but we’re up 14% in terms of communities year-over-year.
Operator: Your next question comes from the line of Joel Locker with FBN Securities.
Joel Locker – FBN Securities: Hi, guys. Just wanted to get your take on the material side, the pressure side with crude oil being at a nine-month high today and then wallboard prices going up, if you’re able to mitigate that with your suppliers or if that’s going to come through the balance sheet eventually – I mean the income statement?
Martin Connor: Yeah. Right now, we’re seeing small increases with dry wall and lumber and those increases combined are being offset by labor savings. So our costs right now are basically flat when you put it all together.
Joel Locker – FBN Securities: Got you. When – you mentioned the first three months of depository, but what about the binding deposits? Did you give a number on that in the first three weeks of February?
Unidentified Company Representative: I don’t think we gave that ...(inaudible)
Martin Connor: We did not.
Douglas Yearley: We did not give that.
Unidentified Company Representative: We won’t be.
Joel Locker – FBN Securities: Right. All right, thanks a lot.
Operator: Your next question comes from the line of Bob Wetenhall with RBC Capital Markets.
Steven Bachman – RBC Capital Markets: Good afternoon. This is Steven Bachman for Bob. How are you?
Douglas Yearley: Good, thank you.
Steven Bachman – RBC Capital Markets: Great. How much did favorable weather conditions, particularly in the Northeast, impact your performance during the quarter?
Douglas Yearley: It’s a great question. Last year, we got slammed; Delaware North the year before, Maryland and Virginia got slammed. Last year we had a storm on the 26th of December didn’t see the grass until mid-April, but we’re diverse enough in enough markets that we’re encouraged by traffic trends, deposit trends in California and Florida and the Carolinas and enough place – Texas, that I don’t think it’s affecting our business. If somebody wants to buy a house, well they can’t get out this week because of a foot of snow, but they don’t forget about buying a house. They may come out two or three weeks later. So I don’t think – it may be lumpy for a week here or there, but overall I don’t think it affects our business.
Steven Bachman – RBC Capital Markets: Got it. Thank you. And just as a follow-up, whereas for most builders, the multi-family shift has been kind of incrementally negative for margins. Should we expect a more favorable mix shift in fiscal 2012 for guys as you continue sell more multi-family apartments, particularly the New York area?
Martin Connor: We have not given any specific guidance on that, but as Doug mentioned; we underwrite the high-rises to a higher expected return.
Steven Bachman – RBC Capital Markets: Fair enough. Thank you very much.
Douglas Yearley: You’re welcome.
Operator: Your next question comes from the line of Ken Zener with KeyBanc.
Bob Toll: Let’s try again, Dawn.
Operator: Your next question comes from the line of Jack Micenko with SIG Group.
Jack Micenko – SIG Group: Hey, good afternoon, guys.
Bob Toll: Hi.
Jack Micenko – SIG Group: Just had a couple of questions for you; could you elaborate on your comments about California and land purchases, that you can’t find land? Is it because asking prices are too high at start or just not any attractive parcels?
Bob Toll: I didn’t hear the second part. The first part I heard. Yeah, the asking prices were too high and unreasonably so from our point of view. What was the second part?
Douglas Yearley: The attractiveness.
Bob Toll: Attractiveness...
Jack Micenko – SIG Group: Attractiveness of land, yeah.
Bob Toll: Yeah, there is definitely less attractive coming to our attention on a deal-flow basis. But there are – but there still are plenty of attractive parcels that we’d like to buy for our price.
Jack Micenko – SIG Group: Okay. And then second question, in the Seattle market with the large Amazon purchase in Seattle, now looking to your EQR partnership do you see an opportunity there to build resi on top of all their planned tower space?
Martin Connor: Not a bad idea. Haven’t looked at that; have we?
Douglas Yearley: There is one deal that we studied. We’re going to digest CanWest in the suburbs.
Jack Micenko – SIG Group: Okay.
Douglas Yearley: Before, we jump in, but it’s something that’s certainly on our mind.
Jack Micenko – SIG Group: And then one final question, with Inspirada, when you bought the land on balance sheet and did your valuation, did you guys assume any kind of price appreciation when you brought the land back on or assumed flat pricing?
Martin Connor: Flat.
Bob Toll: I think the opposite. Is it at zero?
Martin Connor: Very, very close to that.
Unidentified Company Representative: (Inaudible)
Martin Connor: We haven’t got a lot of room at the bottom here, so...
Jack Micenko – SIG Group: Yeah.
Martin Connor: And technically just to clarify, that land is still in the JV but it’s almost book kept the same way in terms of carrying value as if it were on balance sheet.
Jack Micenko – SIG Group: All right, great. Thank you very much.
Douglas Yearley: You’re welcome.
Operator: Your next question comes from line of Alex Barron with Housing Research Center.
Alex Barron – Housing Research Center: Thanks. Hi, guys.
Douglas Yearley: Hi.
Alex Barron – Housing Research Center: I wanted to ask you, when I look at your interest and your capitalized interest this quarter I see you incurred $29 million and you expend $16 million. Obviously I try to adjust for that as your volume grows and stuff, but when can we expect those two numbers to sort of get a little bit closer in line with each other?
Douglas Yearley: I think in order for that to happen, we’d have to have either less debt, and we just added $300 million, or more inventory in production; which we hope to have, but as we’ve seen that goes a little slower than we want it to. That’s how those numbers come together, Alex.
Alex Barron – Housing Research Center: Okay. And I guess when it comes to your SG&A, I understand you’re investing and growing and that’s good. I guess I’m just trying to get a sense for how much of the incremental dollars were coming sort from a fixed portion, if you will, versus kind of variable and how I should think about that going forward.
Douglas Yearley: The S component of our SG&A is the most variable with our revenues and it’s about 30% of that SG&A number?
Martin Connor: Correct.
Douglas Yearley: Right. So I think that’s the best way to look at it. As we sell more homes, we have more selling expense.
Alex Barron – Housing Research Center: Got it. Okay, that’s helpful. Thanks.
Douglas Yearley: You’re welcome.
Operator: Your next question comes from the line of Michael Rehaut with JPMorgan.
Michael Rehaut – JPMorgan: Thanks. Just had a follow up question regarding how to think about the ordered trends in the first quarter and so far in February. You had referred to the shift in the tower sales from unconsolidated JVs to on balance sheet and I was wondering when you refereed to the 43% gross deposits and 25% per community, does that refer to total orders that include the JVs irrespective and so the shift really wouldn’t impact those numbers or...?
Martin Connor: Michael, that’s on balance sheet to on balance sheet.
Gregg Ziegler: Right. Apples to apples.
Michael Rehaut – JPMorgan: So then could you kind of give us a sense of what the contribution from the towers now being on balance sheet contributed to the February and first quarter trends?
Martin Connor: I think – it’s hard to do. We had 228 communities and three of them are the towers that are incremental this year compared to last year.
Michael Rehaut – JPMorgan: Okay.
Martin Connor: So I don’t think it’s as dramatic as...
Michael Rehaut – JPMorgan: So on a per community basis, you would adjust for that ostensibly?
Bob Toll: What?
Martin Connor: No.
Gregg Ziegler: It’s divided per community as high-rise towers or one of the 228 communities.
Martin Connor: Right.
Operator: Your next question comes from the line of Jade Rahmani with KBW.
Jade Rahmani – KBW: Yes, hi. I wanted to ask if you could give us an update on the deferred tax valuation allowance. And also, if the corporate tax rate was lowered to 28% from 35%, would you lower the valuation allowance by that 7% difference? Thanks.
Martin Connor: The deferred tax asset valuation allowance is $428.6 million this quarter and I’m not going to speculate on how the tax code’s going to treat a change in rate as it relates to previously incurred losses.
Bob Toll: Thank you. Dawn?
Operator: And there are no further questions, sir. I will now turn the floor back over to you for any closing remarks.
Douglas Yearley: Thank you, Dawn; thanks everyone.
Bob Toll: Appreciate it. Goodbye.
Operator: And this concludes today’s Toll Brothers first quarter 2012 earnings conference call. You may now disconnect.